Operator: Welcome, everyone, to UMC's 2015 Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent background noise. After the presentation, there will be a question-and-answer session. Please follow the instructions given at that time if you would like to ask a question. For your information, this conference call is now being broadcasted live over the Internet. Webcast replay will be available within an hour after the conference has finished. Please visit our Web site, www.umc.com, under the Investor Relations/Investors Events section. And now, I would like to introduce Mr. Bowen Huang, Head of Investor Relations at UMC. Mr. Huang, you may begin.
Bowen Huang: Thank you, and welcome to UMC's conference call for the third quarter of 2015. I am joined by Mr. Po Wen Yen, the CEO of UMC, and Mr. Chitung Liu, the CFO of UMC. In a moment, we will hear our CFO present the third quarter financial results, followed by our CEO's key message to address UMC's focus and the third-quarter guidance. Once our CEO and CFO complete their remarks, there will be a question-and-answer session. UMC's quarterly financial reports are available at our Web site. During the conference, we may make forward-looking statements based on management's current expectations and beliefs. These forward-looking statements are subject to a number of risk and uncertainties that could cause actual results to differ materially, including the risk that may be beyond Company's control. For these risks, please refer to UMC's filing with the SEC in the U.S. and the ROC security authorities. I would now like to introduce UMC's CFO, Mr. Chitung Liu, to discuss UMC's second quarter 2015 business results.
Chitung Liu: Thank you, Bowen. I would like to go through the 2Q '15 investor conference presentation material which can be downloaded from our Web site. Starting on page 3. The second quarter of 2015, consolidated revenue was NT$38.01 billion, with gross margin at 22.9% and operating margin at 10.2%. The net income attributable to the stockholders of parent was NT$4.6 billion and earnings per ordinary shares were NT$0.37 Now please turn to Page 4 of the presentation. For the comprehensive income statement of second quarter, revenue was NT$38.01 billion, up about 1% the previous quarter which is mainly coming from shipment increase on back of strengthening NT dollars. Gross profit was NT$8.7 billion or 22.9% gross margin. This is due to the swing of our new business from quarter one in profit and quarter two in loss. Due to control of operating expenses, our operating income reached about NT$3.87 billion or 10.2% in operating income margin. And net income as we reported earlier its NT$4.5 billion or 12% of the net income margin. EPS was NT$0.37 per share. On Page 5, we can see the first six months comparison year-over-year. Revenue growth 12%, mainly due to strong wafer shipment across the weakening NT dollars and gross profit shows significant growth of 26.7% or NT$17.87 billion or gross margin of 23.6%, almost three percentage point increase from the previous year. And net income is around NT$8.45 billion grew [90%] year-over-year compared to same period of 2014. And accumulated EPS for the first half of 2015 is NT$0.68 per share. On Page 6, it's our balance sheet highlight. Our cash has increased to NT$64 billion and our total stockholder equity is around NT$224 billion of which there are total assets of NT$331 billion. On Page 7, there's a segment breakdown among our different operating division, mostly still coming from wafer fabrication which represents majority of our consolidated numbers. And new business in the second quarter still report segment loss around NT$170 million. On, Page 8, our ASP -- blended ASP in the second quarter -- that was somewhat flat compared to Q1 of 2015 which is increasing our expectation. The revenue breakdown from Page 9 onwards, we can see Asia relevant to 42% and North America stays somewhat unchanged around 46%. And IDM client has continue to represent around 11% of or total revenue on Page 10 and in terms of segment breakdown at for Page 11, communications stay around 55% and computer continued to show weakness and shrink to around 12%. On Page 12, our revenue breakdown by technology we are happy to see 28 nanometer continue to 11% of our total revenue, our 40 nanometers stay around 22%. Our total revenue for 40 nanometer and below now represent around 33% of our total revenue. On Page 13 we continued to see capacity growth, mainly coming from our Xiamen wafer fab in China as well as our leading-edge fab in China and Taiwan. For both 8-inch and 12-inch and capacity increase the trend will continue into third quarter of this year. On the last page are CapEx up to date still remains around 1.8 billion as planned, there is no change so far for our planned CapEx. That conclude my 2015 second quarter financial highlights and the more details are available in the report which has been posted down our Web site. I'll now turn the call over to Mr. Yen, CEO of UMC.
Po Wen Yen: Thank you Chitung. Hello everyone, I'll like to update to everyone UMC's second quarter operating results. In the second quarter of 2015 our foundry business performed within expectations, posting NT$36.52 billion in revenues and gross margin of 25.1%. Wafer shipments reached an all-time high of 1.54 million 8-inch equivalent wafers, leading to an overall capacity utilization rate of 94%. Our 28nanometer wafer shipment increased as 2Q '15 contribution reached 11% of sales, primarily from the communication sector. The New Business segment recorded NT$1.83 billion in revenue, with a net loss of NT$170 million. Topcell Solar Incorporation officially merged into Motech Industries Incorporation on June 1, 2015 As a result UMC now owns approximately 9% of Motech equity shares. And we will no longer consolidate its operating performance into UMC's financial statements. Looking into third quarter, the limited end-market visibility and inventory correction we mentioned during our first quarter conference call is expected to continue. Current weakness in overall demand, partly due to the uncertainties in economical outlook, will prolong the inventory adjustment through the second half of 2015. However, we continue to enhance our foundry services, such as our recently announced 14 nanometer FinFET IP collaborations with Synopsys and ARM to accelerate process verification on our 14 nanometer platform. UMC also announced the availability of a new 55 nanommeter ultra-low-power process from ARM, aimed to maximize battery life for IoT applications. For TSV, Through Silicon-Via, we recently ramped to volume production our TSV and silicon interposer process used on AMD's flagship Radeon GPU. These engineering efforts will strengthen our advanced and mature node offering and enhance UMC's competitive edge in the foundry industry. In addition, shareholders have approved a dividend payout of NT$0.55 per share per share for fiscal 2014, balancing UMC's commitment to shareholders while maximizing the opportunities towards business growth. UMC strives to provide enhanced corporate profitability by delivering the highest quality manufacturing services in order to ensure long-term shareholder value. Now please allow me some time to summarize the recent highlights in Chinese. I have finished my remarks, and now let me go over the third quarter 2015 guidance. The foundry segment wafer shipments to show a decrease of less than 5%. The foundry segment ASP in U.S. dollars to decrease by approximately 3%. The UMC foundry segment gross profit margin will be in high teens percentage range. Capacity utilization rate for foundry segment will be in high 80 percentage range. Since new business revenue will be approximately 1% of the foundry segment. In future earnings conference UMC will no longer provide the new business guidance. That concludes my comment. We're now ready for questions. Operator, please open the lines now. Thanks.
Operator: Thank you ladies and gentlemen. We will not begin now question-and-answer session. [Operator Instructions] Our first question is from Randy Abrams of Credit Suisse. Please ask your question.
Randy Abrams: My first question, I wanted to ask on the guidance for third quarter for ASPs down 3%. If you could talk how much is from the technology mix so the 28 and 40, if you expect that to decline? And how much is coming from pricing and if you're seeing any more aggressive pricing environment at this stage.
Po Wen Yen: Our third quarter guidance, we just mentioned that from ASP side we guided 3% decrease. And from wafer shipment we'll be less than 5% decrease than previous quarters.
Chitung Liu: And 3% ASP decrease mainly will come from it deterioration rather than back to liked price erosion?
Randy Abrams: On that, could you give a flavor for the 28, the contribution, how you expect that to track? And I wanted to, I guess, clarify also the margin. In the press release I think it said mid-teens and in the remarks you mentioned high-teens, but I wanted to understand which one, whether it's mid or high teens. And also it seems like a relatively big magnitude to come from mid-twenties, foundry gross margin to mid to high teens, so maybe the factors as to why the margin is declining to that magnitude.
Po Wen Yen: Our 3Q, 28 nanometer revenue contribution will be approximately around 10%. And you mentioned the high-teens forecast, it's actually at the end of 2015, our original forecast.
Randy Abrams: To clarify that -- 28 nanometer and give a forecast for fourth quarter for 28 nanometer. And the second question was on gross margin, that factored to guide down gross margin and whether that's from mid-teen to high-teen for the third quarter gross margins?
Po Wen Yen: On the third quarter profitability was mainly impacted by the increase of depreciation. And secondly the utility fee for the summer season and also the lower loading especially in the high-end technology nodes.
Randy Abrams: The last question I wanted to ask, the CapEx is maintained despite lower shipments, so could you give an update you're still expecting a little bit over 29,000 capacity early next year on 28? And if you can give a sense how much is loaded now and your view on adding customers or if you can fill that with 40? So I just want to understand the road map now on 28 and how you feel you can fill that over the next couple of quarters.
Po Wen Yen: Yes, our 28 nanometer capacity, we will have around 20K by 3Q third quarter '15 and we expect to push out due to the demand weakness and push out our original 30K per month originally in the end of this year or early next year or push out two quarter. So, that will be in 3Q. This 30K per month capacity in fact will be in third quarter of 2016.
Randy Abrams: And just a quick follow-up, if you push out the depreciation, could you give a flavor now depreciation year-over-year and then an initial view on 2016 if maybe it doesn't increase as much.
Chitung Liu: It mostly impact would be on 2016 rather than 2015. So, this year we're still expecting depreciation to grow up around 15% to 20%. And all the cash based CapEx won't be impacted that much. That's why our numbers still stay around [1.2 billion].
Operator: And the next one is coming from the Szeho Ng from BNP. Please ask your question.
Szeho Ng: Yes, good evening, gentlemen. For Q2 what's the foundry's business operating margin?
Chitung Liu: 25.1%.
Szeho Ng: That's the gross margin, but how about operating margin?
Chitung Liu: Gross margin, yes. Operating margin we don't provide the numbers.
Szeho Ng: And right now what percentage of your revenue is coming from driver IC?
Chitung Liu: Driver IC is around 30% of our specialty revenue. And specialty revenue is around 30% to 40% of our total revenue. So, 20% each.
Szeho Ng: And for new business you are no longer offering the guidance because the revenue is kind of small, but how about the bottom line impact to the Group? Would that be still similar to what we have seen last quarter?
Chitung Liu: Half of the new business already being emerging to Motech, so regardless if this profit or loss it will be half. We still have some entity which meaningful numbers most likely in loss in near-terms but there are -- it won't really make a big impact for overall bottom line for UMC Group. That’s why we are actually continued for go by guidance and new basis.
Szeho Ng: And a last question on 28-nano, Q2 it account for 11% revenue, so any indication for the contribution by the end of the year?
Po Wen Yen: We just guided our 3Q 28 nanommeter revenue contribution of around 10% and that 4Q will close to that 3Q's contribution.
Szeho Ng: And the mix will be similar between Poly and High-K-Metal gate for 28?
Po Wen Yen: The change quarter-over-quarter and so roughly where we are in terms of revenue will be 50% to [60%].
Operator: Our next question comes from Michael Chou, Deutsche Bank. Please ask your question.
Michael Chou: Could you give some color for the outlook by applications, that's my first question. In Q3, I'm sorry.
Po Wen Yen: Q3 in all segments, all applications are showing a decrease and for computer it decreased the most and over 10% and secondly qualified consumer focus and then communication.
Michael Chou: So communications segment decline is the most modest in Q3, is that correct?
Po Wen Yen: That’s correct
Michael Chou: Can we say the wireless will see more declining ROI in Q3?
Po Wen Yen: In Q3 the [estimate] of wireless is increased.
Michael Chou: In Q3 wireless will increase. My second question is you mentioned you are going to do TSV for a client, would that see the very massive adoption next year or 2017 for your customers?
Po Wen Yen: We will continue to see the -- to taking more opportunities on TSV with our silicon interposer technology.
Michael Chou: Let me rephrase my question. I'm wondering if the yield rate of TSV is good for GPU, I know you made an announcement for AMD's high-performance GPU which will adopt your TSV process but is the yield rate good enough for really massive mass production?
Po Wen Yen: That we -- as I mentioned that are phasing through the mass production but that in only for flagship past.
Michael Chou: I see, I see.
Po Wen Yen: The demand we are not as we think. No we are not that big.
Michael Chou: My final question is, would you enter 14-nanometer FinFET risk reduction in late 2016 or '17?
Po Wen Yen: No we plan to that -- we're targeting to begin the 14 FinFet production in first half of 2016 or 2017?
Michael Chou : That's mass production.
Po Wen Yen: Yes.
Michael Chou: Mass production.
Operator: And the next one is from Gokul Hariharan, JP Morgan. Please go ahead.
Gokul Hariharan: My first question is on your 8-inch capacity and the demand that you're seeing. It looks like there has been -- there has been some slackening of 8-inch demand. Could you talk about how your 8-inch capacity what are the utilizations that you expecting for second half of the year? And do you think that 8-inch is still likely to remain tight as we go into 2016 once this inventory correction end or are there a lot of applications migrating from 8-inch to 12-inch which could result in 8-inch not being in tight supply even in 2016.
Po Wen Yen: So our current forecast on 8-inch capacity utilization is around mid 90, it remained very strong.
Gokul Hariharan: So your 8-inch is not seeing any degree of slackening. Are you still going ahead with some of the capacity addition plans on 8-inch or, I think it was primarily in China but are we still going ahead with that or is there any change in that plan?
Po Wen Yen: It's very minimum yes, but it's only conversion of some tools for various process applications, it's not for volume sale. And in our China plant we're mainly focused on 3-inch in China's plant.
Gokul Hariharan: And on the 28-nanometer fab could you give us some color on when you would restart the investment again? Based on your guidance for 28-nanometer revenue in Q3 and Q4 it looked like it's going to be remaining at a slightly lower than optimal utilization level. So should we expect that it's going to be only maybe Q2 or Q3 of next year that you restart the 28-nanometer plan and does that have any impact in terms of your CapEx plans for next year? Is that going to come down from the $1.8b that we have for this year.
Po Wen Yen: Yes, our 28-nanometer, we're going through a phase of bringing more 28-nanomter charters into production and however the tradition will pick sometime to realize, so we're still actively engaging with stable second wave of customers their product pickup. And we are near few quarters to regain the momentum and we're targeting to reach more than 15% spending revenue share in the second quarter 2016, next year.
Gokul Hariharan: And any implications on the CapEx for next year? Should we expect significantly lower CapEx for next year compared to this year?
Chitung Liu: We do have two projects ongoing simultaneously, the P5 basic in China as well as the Xiamen fab, in Xiamen of course. And it's unlikely to be very small CapEx, but our CapEx is very based upon the customer needs as well as our sustainable cash flow, so it will always be around same forecast figure, it will be un and down little bit but not far off.
Operator: And the next question is from Steven Pelayo, HSBC. Please ask your question.
Steven Pelayo: Yes, on 28-nanometer, I'm trying to understand how much is your push-out here and it looks like you're guiding down maybe 10%, 15% quarter-on-quarter on revenues. How much of it is demand versus maybe market share issues and not getting the second wave of customers and tape-outs ramping sooner. The fact that you're kind of pushing out that 30K until mid next year really concerns me a bit here. So can you talk just a little bit about the broadening out of that customer base, the number of tape-outs that you have going on and it sounds to me like the ramp schedule is really not until maybe 2Q, next year?
Po Wen Yen: Currently we have five customers and from 2Q to 3Q, we increased from 10 to 13 products phased into the production. And in coming quarters we'll increase our customer engagement from 5 to 8 and it will be more than 20 products 28-nanometer product take off in early 2016.
Steven Pelayo: It just doesn't seem like they're really transitioning to revenues much if you're talking about 28-nanometer remaining around 10% of revenue for the rest of this year, so it seems like we have to wait until next year. Do you think some of the 28-nanometer issues, I'm curious if the slower ramp is just related to TSMC continuing to introduce new processes there with the Compact and the Compact Plus processes as well. Is that just keeping customers from moving to second sources or do you think it's just a weakened demand environment out there?
Po Wen Yen: I must say it's mainly due to the inventory correction and whole industry economic situation is kind of weakening -- demand's weakening. And we, at UMC with our 28 nanometer process portfolio is pretty comprehensive. We also have compact version in the coming quarters. So, we are pretty, still engaging a pretty -- broaden our customer base with any more 28 tape-outs.
Steven Pelayo: Last question from me, I think you had said in the past that you really needed scale, I think 30K was considered kind of scale to really get corporate average gross margins in 28-nanometer. So should I just push that off to maybe, I guess some time a year from today? Or maybe we can start talking about 28-nanometer doing the mid 20s gross margins that you have been doing in the last couple of years -- or the last couple of quarters, pardon me.
Po Wen Yen: Yes, at this moment it's difficult to predict when our 28 nanometer can catch-up the corporate [potential] average margin.
Operator: And then next one is from Daniel Heyler from Merrill Lynch. Please ask your question.
Daniel Heyler: Chitung, I had a question that's a clarification. You've said 28-nanometer is holding about 10% contribution to revenue and the rest of the business is kind of soft, you've got a 3% unit decline. Why would the mix go down in your ASP, down in the third quarter when 28 is keeping its contribution at about the same level? Why would ASP be declining as a result of mix then?
Chitung Liu: There's a shift in between Poly and High-K for 10 years for the coming quarter. And also we see some weakness in the more mature 12 inch demand such as the 65 and that also has some impact on our blended ASP.
Daniel Heyler: Yes, so the 65 is an area of notable weakness relative to 8-inch and 28 then, that's the big area. Is there any particular, you said it's very broad-based, are there any areas within 65 that are notably weak? Because that's a pretty big part of your business, 20% of revenue, I was wondering where --?
Po Wen Yen: The third quarter we would see the weakest for the computer segment is AOCD driver and touch panel from solar that's showing the decrease and for the consumer it's DTV and set-top box going down. And for the communication we see the microcontroller and switch panel parts they are going down.
Daniel Heyler: And then as you bring up some of the 28 business gradually, what are your areas within 65 that you can backfill that capacity, in other words, what end market can you fill 65 with, because that's going to be an area of plenty of capacity in the industry. So I'm wondering if that's going to be an excess there and how you go about filling 65.
Po Wen Yen: Our 65, it's -- we have a -- originally we have planned to have some lower end legacy note migrate to 65, however in some areas it did not happen. For example, the AOCD driver is one of the example and that's moving to the [10 inch] 65 nanometer technology as we expected. So, still our 65 nanometer is 35 inch or more.
Daniel Heyler: Is the utilization on 40-nanometer going to be higher do you think because that's more specialty technology, 45?
Po Wen Yen: Yes, our 45 -- 40-nanometer is very strong, yes, above average.
Daniel Heyler: Can you convert your 65, can you do 40 products on 65? How economical is that?
Po Wen Yen: Yes. We are doing that.
Daniel Heyler: You are migrating customers forward then?
Po Wen Yen: Yes we are eager to working with our customer to upgrade this product to 44. We also consider to upgrade those 65 excess capacity to 40 nanometer. To fulfill that our 40 nanometer piece.
Daniel Heyler: And then I guess, as you're trying to ramp 28, I presume is that, the target market there, still wireless as your target market? And with weakness in China and emerging markets it appears that that's going to be a big challenge for you right? So how do you go about ramping 28 when number one demand is pretty weak? And number two, a lot of the new products coming out that are more lower cost in emerging market will be on 16-nanometer. So I just can't quite figure out how you're going to get the 28 up and running due to the demand dynamics and the completion from '16.
Po Wen Yen: You know Dan -- actually our 28 -- our technology obviously compared if so we -- our engagements with customers applications is pretty broad. So we have not only wireless we have many applications engagements ongoing whereas -- the setup of DTV, there are some second wave customer. Of course the wireless is one of the end applications. And DSC actually be a most of the second wave 28 nanometer customers, they are actually taking out their products -- started taking out 28 nanometer product, looking pretty good perspective of 28 nanometer demand in 2016.
Daniel Heyler: So the 10% of the revenue, how much of that is mobile processor related right now and where would it be say in six months? Is it still predominately a mobile processor that's the majority portion of the 10%?
Po Wen Yen: That is the majority of application is mobile processor.
Daniel Heyler: Right now, okay. So two quarters more before you diversify.
Po Wen Yen: Yes.
Operator: And the next question is from Donald, Goldman Sachs. Please ask your question.
Donald Lu: I've got one short-term question and one long-term question. On the short-term side, I'm getting a little confused because some companies, like packaging companies, still specifically talking about communication is down in Q3, TSMC saying communication is down, but you commented wireless is up but computing and consumers are down. So maybe you can just give us some color about is this because of the market share of your customers are changing or is that something happened just in the last week or so unexpected which the whole things changed, or maybe some other color. So that's my short-term question. A more long-term question is I think that Steve and others have addressed some of it, is we look at your 28-nanometer effort and also look at your revenue on the current plan and also your 28 really isn't probably by one very large customer early on with some help with technology, is this something that you think the ROE can become positive for the 28-nanometer?
Chitung Liu: So Don we are kind of loosing you -- there is like strong background noises from your side. We kindly get to your question. That’s Okay -- we will try to answer maybe you have [noise] background, we'll start to answer your longer-term question first.
Po Wen Yen: So I understand you correctly -- your second question is regarding with our 28 nanometer competitiveness, something like that?
Donald Lu: Depends.
Po Wen Yen: So far our 28-nanometer especially during the first few quarters of mass production, so it's ROI slightly higher than -- sorry, slight lower than 40-nanometer. And we expect that our 28-nanomter ROI will continuously improve through cost reduction measures and enhance our capacity scale and many other activities for example the yield enhancement and the productivity enhancement. So we believe that in the long run of 28-nanomter ROI will be improved.
Chitung Liu: For your first question I think we are telling what we're seeing for the third quarter and it could be all relative and our wireless continue to show resilience in the third quarter, but the other seems to fall at a bigger magnitude in the third quarter, so we cannot really compare ourselves to our competitors or our downstream providers, so again we're telling what we're seeing for the coming quarter.
Donald Lu: Can I just have a follow-up question, have you seen things really getting weaker in the last week or so or is it more like stable?
Chitung Liu: See our business is dynamic and what we're providing today is most update view according to our internal forecast, so I cannot really tell you why it has happened weekly basis but this is pretty much what we predict for the third quarter.
Operator: And then next question is from Roland Shu, Citigroup. Please ask your question.
Roland Shu: I think maybe you already said that however I did not catch-up clearly. So can you repeat what your expectation for 28-nanometer revenue contribution in next year after you bring in all of this on your second wave application?
Po Wen Yen: So we're targeting to reach over 15% 28 revenue share in 2Q, 2015.
Roland Shu: 2Q, 2016 to reach 15% of the total revenue for 28-nanometer.
Po Wen Yen: Yes.
Roland Shu: And how about by the end of next year?
Po Wen Yen: Yes, we don't get that far. But we can -- you can get with our capacity expansion in 3Q, 2016 up to 30K per month and we will increase our revenue share of 28-nanomter.
Roland Shu: Yes, for same revenue contribution in second quarter next year, what kind of utilization assumptions are there behind that? Is it fully loaded for 28-nanometer or is that just at a certain level of the utilization?
Po Wen Yen: The level of utilization is around normal, normal levels of this, it's not fully loaded.
Roland Shu: Second question is for, last time you expect 14-nanometer FinFET process ready to tape-out from the second quarter this year, and I think that you previously just said you expect 14-nanometer FinFET to mass production starting from first half 2017. Why it takes so long from the tape-out to mass production for FinFET.
Po Wen Yen: We are working with the partners to have their prototype test chip in the coming quarters and to validate UMC's 14 FinFET technology platform, then we're expecting by the end of this year we have a standalone tape-out, real product tape-out, so it will take one year to get new product tape-out and then qualify, so we're expecting -- that's why we're expecting starting from first half 2017 placing to the 14 FinFET production.
Roland Shu: So let me clarify, so 40-nanomter a real product tape-outs has not yet started?
Po Wen Yen: Not yet.
Roland Shu: Am I right?
Po Wen Yen: Yes.
Roland Shu: So there will be planning to start by the end of this year?
Po Wen Yen: Yes.
Roland Shu: And how many customers and also how many products, real products that will be by the end of this year?
Po Wen Yen: We have more than one partner, but I cannot disclose the actual numbers right now.
Roland Shu: And then my last question is on with your recent share price weakness, do you have any plans to buy back shares recently?
Chitung Liu: We just actually proposed a buyback in today's Board meeting so all the details will be disclosed on our Web site.
Operator: [Operator Instructions] And then next one is from Don Ye, Nomura. Please ask your question.
Mark Li: My first question is regarding to your gross margin guidance. In the past when utilization rate stayed at high 80 percentage point, the gross margin may still stay above 20%. So what is the reason behind the weaker gross margin guidance for third quarter?
Po Wen Yen: Yes, our third quarter profitability was mainly impacted by the increase in our depreciation and, as we just mentioned and there are some other factors including the utility fee and also the high-end technology nodes the loading is lower than our expectation.
Mark Li: So that means the main reason behind weaker gross margin may be from a low utilization from 28-nanometer?
Po Wen Yen: Yes, mainly, yes.
Mark Li: So you mentioned about a utility fee. That is also related to 28-nanometer right?
Po Wen Yen: That is a whole company, it's a summer utility fee is higher than other seasons. High powers, it's utility fees policy.
Mark Li: Could you remind me, you just mentioned there the eight-inch fab utilization rate can still stay at mid-90% in the third quarter?
Po Wen Yen: Yes, that's correct.
Mark Li: So the utilization of 12-inch will be much lower than the corporate average, right?
Po Wen Yen: Yes, it's around 80%.
Mark Li: And could you remind us the capacity of 28-nanometer in the second quarter and the third quarter?
Po Wen Yen: Second quarter '15?
Mark Li: Yes.
Po Wen Yen: Yes, we in 2Q, we have a 18,000 wafers per month and in 3Q we have 20,500 wafers per month in 28-nanometer capacity.
Mark Li: And we will reach 30K wafers per month in the second quarter of next year?
Po Wen Yen: In the third quarter of next year.
Mark Li: The third quarter. And what is capacity allocation on High-K-Metal Gate and Poly-SiON? Is it still 70% to 30%?
Po Wen Yen: It's around 50% to 70% on High-K-Metal Gate version. It will vary quarter-over-quarter but on average it's around 60% to 70% on High-K-Metal Gate version.
Roland Shu: So in the third quarter the computer applications will see the largest decline, so you mentioned that the communication application will still decline but the wireless products will grow in the third quarter right?
Po Wen Yen: Yes.
Operator: Ladies and gentlemen, we are running out of time. That concludes today's Q&A session. We thank you for all your questions. I'll turn things over to UMC Head of Investor Relations for closing remarks.
Bowen Huang: Thank you everyone for joining us today. We appreciate your questions. As always, if you have any additional follow-up questions, please feel free to contact UMC at ir@umc.com. Have a good day. Bye, bye.
Operator: Ladies and gentlemen, that concludes our conference for second quarter 2015. Thank you for your participation in UMC's conference. There will be a webcast replay within an hour. Please visit www.umc.com, under the Investor Relations, Investors, Events section. You may now disconnect. Good-bye.